Operator: Good day, ladies and gentlemen and welcome to the Axcelis Technologies First Quarter 2016 Conference Call. My name is Tamara and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of the conference. [Operator Instructions] I would like to turn the presentation over to your host for today’s call, Mary Puma, President and CEO of Axcelis Technologies. Please proceed, ma’am.
Mary Puma: Thank you, Tamara. With me today is Kevin Brewer, Executive Vice President and CFO; and Doug Lawson, Executive Vice President of Corporate Marketing and Strategy. If you've not seen a copy of our press release issued earlier today, it is available on our website. Playback service will also be available on our website as described in our press release. Please note that comments made today about our expectations for future revenues, profits and other results are forward-looking statements under the SEC’s Safe Harbor provision. These forward-looking statements are based on management’s current expectations and are subject to the risks inherent in our business. These risks are described in detail in our Form 10-K Annual Report and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. Today, Axcelis reported first quarter financial results above both guidance and consensus. Revenues for the quarter were $67.5 million with an EPS of $0.02, representing our sixth consecutive quarter of profitability. Our systems business showed a bias towards memory this quarter, driven by a large percentage of high energy shipments to the NAND segment. The split for the first quarter was 75% memory and 25% foundry and logic. We expect this mix to return to a more even split in the second quarter and remain that way throughout the rest of the year. In terms of guidance, we expect the second quarter to be similar to the first quarter with revenues in the mid $60 million range, gross margins in the mid 30% range, operating income of $1 million to $2 million and EPS of breakeven to $0.01. Gartner recently released their market share and TAM results for 2015, with the implant TAM growing to just north of $1 billion, slightly above the expected TAM of $975 million. Axcelis’ total market share grew twice as fast as the market, increasing from 12.4% to 18.3%, while high current share doubled from 6% to 12.4%. Purion H, the fastest growing product in Axcelis’ history was the primary driver that brought both total implant and high current market shares to their highest levels since 2004. Axcelis also retained market leadership in high energy, with market share growing from 48.4% to 55.7%. This was driven by the continued strength of Purion XE for memory and image sensor devices. Axcelis expects an implant TAM in 2016 of between $825 million and $875 million, which is lower than Gartner’s most recent estimated TAM of approximately $900 million. The 15% to 20% decline in the TAM is primarily due to uncertainty in the DRAM market. Axcelis expects to gain additional share in 2016 despite the TAM reduction. With the 2015 results finalized and updated 2016 TAM estimates released, we’re tightening our expected 2016 market share range to between 20% and 25%. Our market share gains in 2016 will come from securing capacity production buys at sites that currently have evaluations, expanding our customer base through new sales and evaluation placements and increasing the number of qualified recipes at existing customer sites. During the first quarter, we’ve made significant progress towards these goals. We added new customers for both the Purion H and Purion XE, closing outstanding Purion H evaluation and shipped follow-on Purion H production systems to a leading DRAM manufacturer after a successful evaluation. Expanding our customer base in 2016 will allow us to position ourselves essentially set the table to take full advantage of multiple large projects anticipated in 2017 and 2018. These projects are expected to support the continued growth of the Internet of Things and a large sustained memory build. Construction of a new memory fab could account for a major portion of the implant TAM in a given year. A 50% participation rate in one of these new fab projects will translate into a step function improvement in our market share as we experienced last year. This will be a major driver in achieving our 40% market share target. While lower than expected weakness in DRAM spending has caused the first half of 2016 to be less robust than we would like, we have made significant progress toward our 2016 objectives. We still expect to see a pickup in the overall business later in the year driving second half revenues higher than the first half. This improvement will come from market share gains driven by the closure of our current Purion H evaluation unit focused on non-volatile memory as well as continued activity in the non-leading edge foundry and logics segment. Now, I’d like to turn it over to Kevin to discuss our first quarter financial results.
Kevin Brewer: Thank you, Mary. Before reviewing our first quarter numbers, I’d like to take a minute to highlight some of our financial objectives. First, we continue to tightly control our SG&A and R&D expenses in the $20 million to $21 million range, while making the necessary strategic investments in the business. Second, we remain focused on gross margin improvement for the goal of exiting the year between 36% and 38%. We’re making very good progress on this goal especially if you factor out the more costly evaluation systems recognized on last two quarters. Our detailed margin improved roadmaps continue to show a path of 40 plus percent gross margin by the end of 2017 as market share increases and cost out initiatives are realized. Our focus remains in supply chain optimization, lean manufacturing and engineering cost out programs across all Purion products. As Purion products mature, we also realize additional savings on warranty and install and first and fab costs. And finally, we continue to work on improving inventory turns. Although current turns are below 2, Purion turns much faster at almost twice the rate of the overall business due to significant platform commonality and cycle time improvement programs. As Purion market share grows and additional cycle time improvements take hold, our overall inventory turns will move higher towards a longer term goal of greater than 3. Looking at our first quarter results, we finished above guidance and consensus estimates. Q1 revenue was $67.5 million, compared to $70.5 million in Q4. Q1 system sales were $37 million compared to $40.8 million in Q4. Q1 GSS revenue finished at $30.5 million compared to $29.6 million in Q4. Q1 sales of our top 10 customers accounted for about 79.6% of our total sales compared to 83.7% in Q4, with three of these customers at 10% or above. Q1 system bookings were $36.9 million compared to $26.1 million in Q4 with a Q1 book to bill ratio of 0.98 versus 0.67 in Q4. Backlog in our first quarter finished at $21.9 million compared to $22.5 million in Q4. Q1 combined SG&A and R&D spending was $20.6 million, up compared to $19.6 million in Q4 due to the expected annual Q1 unemployment expense. SG&A in the quarter was $12 million with R&D at $8.6 million. We also recorded a restructuring charge of approximately $300,000, primarily driven by a reduction in the service contract associated with the recent customer consolidation. In Q2, we expect SG&A and R&D spending to be between $20 million and $21 million. Gross margin in Q1 finished at 34.7% compared to 31.2% in Q4 and included revenue recognition of a Purion H evaluation unit. As we’ve pointed out on a number of occasions, the evaluation tools typically have a negative margin impact in the quarter they’re recognized. In Q2, we expect overall gross margins in the mid-30% range. Operating profit in Q1 was $2.5 million compared to $2.4 million in Q4. Q1 net income was $1.9 million or $0.02 per share above guidance and consensus. This compares with $0.8 million or $0.01 per share in Q4. Q1 inventory ended at $115.2 million compared to $115.9 million in Q4. Q1 accounts payable were $21.7 million compared to $19.8 million in Q4. Q1 receivables were $47.5 million compared to $36.9 million in Q4, highlighting the impact of late in the quarter shipments. Q1 total cash finished at $74.4 million compared to a cash balance of $85.8 million in Q4. We expect Q2 cash to remain in the mid $70 million range, again due to the timing of shipments late in the quarter. While the industry is slower than we would like I'm pleased with our financial performance in the first quarter. Tight expense control and improving system margins contributed to our sixth consecutive quarter of profitability and our balance sheet continues to be strong and free of debt. Now I like to turn the call back to Mary for her closing comments.
Mary Puma: Thank you, Kevin. We are very pleased with the share gains particularly the Purion product family has achieved, tripling total implant market share from 5.7% in 2012 to 18.3% in 2015. We are especially excited about the gains Purion H has made, quadrupling market share in the nearly $600 million high client market from 3.2% in 2012 to 12.4% in 2015. Both of these metrics are at the highest levels Axcelis has experienced since 2004. Now, in 2016, it is clear that Axcelis is capturing customer mind share with Purion. We expect our Purion penetration success to continue throughout 2016 positioning us for strong 2017 and 2018. Share gains in these years will be driven by a broader customer base and improved memory spending. We continue to exclude well and believe that we remain on track to achieve our long term business model. With that I'd like to open it up for questions.
Operator: [Operator Instructions] And our first question comes from line of Edwin Mok with Needham & Company. Your line is now open.
Edwin Mok: First question on bookings, actually I noticed that it's up quite a bit sequentially back up to the high 30s on the system booking number. Wondering if it was driven by memory or logic or if you can give any color on that?
Mary Puma: So, I'm looking at the bookings for the quarter and 54% of the bookings were memory related and the other 36% were foundry logic related but again remember, it really only directionally will give you a sense of what's going on. As I mentioned in the script, 75% of our shipments came from memory. So, as I mentioned, we do expect that to shift back a little bit more towards the non-leading edge foundry logic segment and I think giving you this booking color now where it is sort of a two-thirds, one-thirds split versus a three-quarters, one-quarter split it’s just giving you an indication or a flavor that is the move that is going to occur.
Edwin Mok: So I noticed that, so as you said, state right, so memory booking or memory revenue is greater now than the 50-50 that you're seeing over the last few quarters. I was wondering is that a kind of underlying trend that you're seeing maybe some of the ménage customer needs some time to digest that in time capacity that they bought or what is the driver for kind of lower share of foundry logic given that as you said stated this year, looks like memory spending is, especially DRAM spending is [indiscernible] share. Just trying to reconcile those two things.
Kevin Brewer: Edwin, the memory side of the business was heavily driven by NAND which is primarily high energy. So that's a much more expensive tool, so there was activity from new NAND supplier in the industry, there was activity essentially from all of our NAND customers. And then the foundry logic side was a mix, but a lot of that was high energy related to image sensor type products and some of the older technologies.
Edwin Mok: On the evaluation that you guys mentioned, ongoing evaluation, sorry, Kevin I think you might have mentioned but I was jumping between calls and I've missed it. Did you say that you expect to recognize revenue for that eval in the second quarter or did I catch that wrong?
Kevin Brewer: Well, we recognized revenue on one in the first quarter and then we have another one in Q2 that we plan to recognizing revenue on.
Mary Puma: So you're right about that Edwin that is the - the evaluation you're thinking about is the one that we expect to recognize in Q2.
Edwin Mok: So it looks its outstanding eval is going quite well to give you the confidence about revenue, right. How do you kind of think about the follow through potential for that customer after they finish the eval, I suspect given the plan I suspect that they probably re-buying some capacities or just trying to get a gauge the sense of that opportunity of that customer.
Mary Puma: Well, I mean we're not going to quantify the opportunity but what we did say is that we do expect follow-on business from that customer and I think we all know that there is investment that's ongoing in 2016 and we'll continue on pretty through the year at several different locations. So that is something at this point in time that we believe is an opportunity for Axcelis.
Edwin Mok: And then the growth in the second half, is it mostly explanation from this eval converting to revenue, or do you expect some new Korean customers to come back with DRAM spending?
Mary Puma: I think at this point in time you know I think what we all know about what's going on in memory, we don't really have any moves or color to add to that I think we you know I just mentioned an opportunity at one particular customer that we think is an opportunity for us and I think based on what we know today, there is a possibility that there could be some spending at the end of this year but that's not something at this point in time that we're counting on as you know we talk about how we believe the second half of the year will be stronger than the first half.
Kevin Brewer: Edwin the other thing that we expect to happen is in the non-leading edge that we expect that to be a little more active in the second half to see some additional activity related to Purion M, in addition to Purion H and Purion XE. So there is, that's where some of that will come from.
Edwin Mok: Lastly, I have a question on the leading edge foundry, I think you guys talked about potentially working with the customer, or potentially securing a thin set eval sometime this year. How is that progressing, just kind of any update on that?
Mary Puma: I mean we're actually engaged with on multiple fronts with several different customers in terms of engaging with them and particularly on the Purion H and so those engagements and experiments are ongoing and continuing on and at this point in time we haven't changed our thoughts around the fact that our target is to place one evaluation unit and a leading edge foundry logic customer in 2016.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Patrick Ho with Stifel. Your line is now open.
Brian Chin: Hi, this is Brian on for Patrick. Thank you for letting me ask a few questions. First question, so obviously you're providing a tighter range for market share improvement this year. I think you said 20% to 25%. But what are the major swing variables that would put you at the top end of that range, and I guess conversely towards the lower end?
Kevin Brewer: So we tighten that range up based on the final numbers coming in at 18.3% and then Dataquest's number of $900 million sort of at the top and our view is still the market is probably going to be in the $825 million to $875 million range so that hasn't changed. The variables that - well, first of all Brain we provide that range since we don't give guidance for the second half, we try to provide enough data points as you guys can do some different modeling. And so, what would drive that is that there was more activity in DRAM obviously that's something that would move us more towards the top additional recipe gains say in the NAND market, extra activity from the non-leading edge related to automotive or any IoT kind of thing which certainly help. And in that particular market, we have far less visibility, so those are the things that would put us towards the top, if you do the math on the 20% the lower number with the different market shares, you can see where that number comes in and we feel pretty - we feel very comfortable with that, that essentially looks like a relatively flat year and so that's kind of the way we would look at it.
Mary Puma: Brain, this is Mary, the one thing I want to add because people will ask how do you get then from even if you are on the top end of the range from 25% market share into your 35% to 40% market share, and the answer to that that we expect memory spending to pickup in 2017 and 2018 and there has been a lot of modeling done and Doug’s talked effectively about this, but if you take 100,000 wafer start fab and you look at the implant opportunity that is in that fab, it ranges between $120 million and $190 million and we’ve also talked about how customers expect that Axcelis to win, let’s say 40% of 50% of the market share, the implant market share in a given fab. So if you do the math on that and you take a look at the TAM, the implant TAM that's what when I mentioned there could be a potential step function increase when we get into '17 and '18 and we start to see some of these multiple fabs become a reality. And we know who the usual suspects are. There are things going on in Korea, there are a number of fabs in China. Doug mentioned non-leading edge and there are even new fabs going on in that area along with some significant expansions. So when you take what Doug talked about in terms of 2016 and then you start to think about what our expectations are for '17 and ‘18 that provides really the roadmap in terms of getting to that target business model 35% to 40%.
Brian Chin: Understood. That's very helpful. Appreciate that. Thanks, Mary. And then one other question, maybe for Kevin, but relative to your gross margin outlook for the year, how much, if any, of your guidance for 36% to 38% gross margins is dependent on incrementally higher revenue, or particular customer product mix? So if revenue were to continue to bounce along say in the mid-$60 million-ish level, I know you have talked about second half up, but at that level could you still achieve the forecast?
Kevin Brewer: Yeah, I think the way to look at the margin improvement one piece of it certainly is around the volume, but we have a lot of other initiatives in play. If you look at value engineering projects that take a material cost out, if you look at the Kaizen events that we have in the factory for productivity and efficiency, and then if you even look at things like warranty and install where we are making additional gains as the tools become more mature, there is a good portion of the margin improvement, I guess I am trying to say the constant things other than volumes. So although volume is important to our roadmaps and improvement, we can still get there, I still feel very comfortable this year that 36% the 38% is very achievable even if the volume drops off a little bit.
Brian Chin: Okay, thank you.
Operator: Thank you. And our next question comes from the line David Duley with Steelhead Securities. Your line is now open.
David Duley: Thanks for taking my question, and I'm sorry I missed part of your prepared remarks, so if I ask you something you already said, I apologize in advance. As far as the NAND players go, are you currently doing business with all of the big major NAND guys, or is there still one guy missing I think in Japan?
Doug Lawson: Yes, we're still not doing business in Japan.
Mary Puma: We are working on it, but we are not there yet.
David Duley: Okay. So basically you count all of the other major NAND players as customers for one product, one Purion product or another?
Doug Lawson: Correct.
David Duley: Okay. And is there an opportunity with the larger Korean customers to expand your NAND presence there? I know you have a heavy DRAM exposure there, but I was just curious, is there an opportunity to pick up further business with the H or the M with those customers?
Mary Puma: Yes, absolutely. So those customers are using all three Purion products and we are actively working with them this year even though there is not a lot of significant investment going on at one of those customers in particular to expand the types of recipes that we are using our tools sets on and moving across from DRAM to NAND and both logic are – those are activities that are well underway.
David Duley: Okay. And I guess you mentioned that you thought the second half would be stronger than the first half, and I think that if you had flat revenue this year versus last year, you probably have a pretty good bump in revenues from the second half. Could you just help us understand what the key drivers of revenue growth in the second half would be versus the first half of this calendar year?
Mary Puma: So we expect – we’ve talked about how and this is the piece that you missed, Dave, we talked about how we expect our mix in terms of system to shift from about 75% memory in the first quarter to a more flat evenly balanced 50-50 mix between memory and non-leading edge as we move forward Q2 and then out through the remainder of the year, so there will still be some ongoing memory spending and then Doug has picked up on a question and said that the non-leading edge driven by the Internet of Things is actually seeing an increase. We’ve had some very strong positive results in our GSS business from that segment of the market and that's beginning to translate now into additional strength on the system side of the business as well.
David Duley: So, said another way, you continue to expect strong overall I guess NAND spending in the second half of the year, and the percentage of business will go down because the foundry logic improves in the second half?
Doug Lawson: Yeah, I would say we expect to continue to see NAND business. There will be some DRAM as well. Mary just brought up interesting point is one we talked about the non-leading edge as kind of whack a mole market and don't have as much visibility, but one leading indicator actually is activity in our GSS business within that group. As their utilizations go up, then they start looking at new tools and use tools to augment their factories. So that's another reason why we feel that the second half will see a pickup in that side of the business.
David Duley: Okay, thank you.
Doug Lawson: Thanks, Dave.
Operator: Thank you. And our next question comes from the line of Mark Miller with Benchmark. Your line is now open.
Mark Miller: At least one other semi equipment firm reported that surprisingly that their DRAM business was picking up, but it sounds like you're expecting that later, but you didn't see any pick up this quarter, is that correct?
Mary Puma: I think what we're seeing with DRAM is pretty consistent with what most of our peers and competitors have reported. I don’t think there is a lot of additional color that we can add to that, but as we mentioned we have a number of activities underway with those customers even though the spending is not very heavy right now. And we expect that when the spending comes back we will have basically expanded our available market with those customers.
Doug Lawson: Some of the memory customers themselves on their earnings calls talked about a little bit of strengthening in the second half of their DRAM business. I think the uncertainty for the equipment segment right now is exactly when that translates into buying.
Mark Miller: We've heard from both Intel and Seagate major vendors into the PC [indiscernible] cycle that Seagate is cutting one-third of its production capacity; Intel is talking about cutting 12,000 people. Has this changed your thinking about DRAM, or is DRAM, the PC space is definitely in secular decline, do you see other opportunities offsetting that?
Doug Lawson: So we are still very bullish as far as memory over the next several years as a whole. And then these days you really have to look at all three types where you’ve got NAND flash ultimately over probably in the 10 year period replacing a good portion of our spinning drives. And then you’ve got the memory which right now the only one on the market is 3D XPoint which kind of fits in between DRAM in terms of speeds closer to DRAM, but capacity is similar to NAND and then of course you’ve got DRAM itself. All three play a critical role in all of the data analytics and that's a big growing market as well as while the PC market might be declining, there is still a fair amount of DRAM when you add the other stuff on. So I think we look at the memory market as a whole and feel pretty strong. The exact mix will probably depend a lot on the success factors with the new memory, the new non-volatile memory and see how that does on the data analytics side.
Mark Miller: Thank you.
Doug Lawson: All right. Thanks, Mark.
Operator: Thank you. And our next question comes from the line of Craig Ellis with B. Riley. Your line is now open.
Craig Ellis: Thanks for taking the question, and I apologize for missing the first part of the call, so I might ask some questions that you've already addressed. But the first question was a bigger picture question that really relates more towards this year. I think going into this year the management team had four objectives, shipping to two new memory customers, sustaining non-leading edge foundry strength, penetrating leading-edge foundry, et cetera. It sounds like at least from the part of the call that I've heard that the non-leading edge foundry piece is online. But can you address the other elements of the four points that you made on the last call, and give us an update on where you are with those, and what we should expect through the rest of the year?
Mary Puma: Yes, I think everything remains on track. I mean, that’s one of the major things that we have been saying. Despite the fact that there is some uncertainty in DRAM right now, none of our objectives have changed and we feel like in the first quarter, we’ve made significant progress against those milestones. We mentioned the evaluation unit at the leading-edge foundry and there are a number of engagements ongoing, and we still expect to place an evaluation unit there. We talked about how on the memory side, in particular on 3D NAND that we are in fact engaged with all the major customers except both the large customer in Japan. And as you know, that’s an initiative that’s been ongoing for us. But we haven’t made significant progress here that – we haven’t made any significant progress there that we can report at this point in time. The non-leading edge, we are continuing to make significant progress. We had several press releases in the first quarter on both high energy and high current that are signposts that you can use to show that we’ve made that progress. So I think in terms of what we said we are going to do unfortunately the DRAM market is a little bit softer than we would have liked, and that we had originally anticipated, but that has not stopped us or set us off track in terms of what we need to accomplish for the year. And we still expect to gain market share this year and be well positioned for additional market share gains next year, both in – at these non-leading edge customers and in the memory space.
Craig Ellis: Thanks for that recap, Mary. And that is a hand-off to my next question. Doug, I know that you alluded or made reference to Gartner market size data and some share numbers. Can you just recap those for me, and to the extent that you talked about prospects for this year? I'd appreciate an update there.
Doug Lawson: Sure, we ended the year at 18.3% total implant market share and that’s up from 12.4%. And we doubled our high current market share, up from around 6%, up to 12.4%. And so that was driven – both of those were really driven by Purion H, the high current tool. This year, we’ve tightened our range to 20% to 25% for the year, for total implant, and at this point, we still feel that the TAM for 2016 for implant is going to be in the $825 million to $875 million range. Gartner is a little bit higher, just north of $900 million. At this point, we feel that DRAM is a little more intensive on implants, and so we think Gartner hasn’t completely factored that in at this point. So that’s where things stand. And then moving forward, we still feel good about getting in that 35% to 40% range as we go into ’17 and ’18, and Mary talked about that couple of times. But it’s really driven by the fact there is multiple large projects planned for ’17 and ’18 and each one of those can give us a step function gain in share very similar to the large DRAM factory that was built last year.
Craig Ellis: So that I make sure I'm following you, you're saying that you view the TAM size this year at $825 million to $875 million, but Gartner is a higher, $900 million, but you think the lower number is a fair representation of how implant will do this year?
Doug Lawson: Yes, that’s how we see it. Gartner – last year, we felt that it was going to be $950 million to $975 million. Gartner’s numbers came in just a little bit north of $1 billion and as we analyzed that we have less visibility in Japan and actually there was some image sensor business that had a little bit higher ASP tools that drove that up a little bit. So we just feel this year that because of the mix where it’s probably a little more NAND and logic-based implant will be down a little bit.
Craig Ellis: And just to clarify the 20% to 25% range, I think in the past, the company made reference to a wider range 25% -- excuse me, 20% to 30%. What accounts for narrowing to the lower half of that range, rather than more around the midpoint or the high-end?
Doug Lawson: Visibility, when we started talking about 20% to 30% in Q4 of last year, now that we know that we ended up at 18.3% and we know that the TAM looks to be in that – somewhere in the 800s for this year, we just feel more comfortable in that 20% to 25% range.
Craig Ellis: And what would it take for the business to perform at 25% to 30%? What would have to surprise you?
Doug Lawson: Some DRAM activity.
Craig Ellis: Thanks for the help, Doug. Thanks Mary.
Operator: Thank you. And we do have a follow-up from the line of Mark Miller with Benchmark. Your line is now open.
Mark Miller: Anything new in regards to a response by your competitor in the space? Are there any new pricing or new innovations coming out on your tools, or has it still been pretty static?
Mary Puma: I think it’s been – I wouldn’t call stagnant, but I’d call it stead. We talked about how our customers really value the fact that now that Axcelis has a competitive toolset with Purion that it’s driving innovation. And we call it a horse race sometime. We will have – we’ll come out with some improvement to a tool and then they will come out and the will make some improvements to their tool and it goes back and forth. And we have referenced several times for example a recipe that one of our large customers who we sold a lot of tools to in 2015, actually doubled the wafers per hour throughput of this particular recipe because of the competition between Axcelis and our competitors’ tools. So those are the kinds of things that are going on. We do an analysis every quarter on pricing and we haven’t really seen any significant changes in that area. So I would say the battle is really more in the technology front and we feel very good about the Purion platform and the way that it’s performed. And we’ve said a number of times that the Purion platform was really designed for the future whereas our competitors’ platform has actually been out there since the late ‘90s. So we think we have a lot of runway in terms of the ability that the tool has from a performance standpoint.
Mark Miller: So they made no changes in their beam geometry or the beam mastery than on the sample?
Doug Lawson: No, their tool is still a ribbon beam based tool and ours is flat beam. I think what Mary is highlighting is that as a customer asks each of us to work on a recipe, particular than the customer gets benefit by having two suppliers and working on it and competing to try to get better yields, better throughputs, whatever the key metric is. And that’s probably the number one reason of why customers want to have to equally strong suppliers than in their house.
Mark Miller: Okay. Thank you.
Doug Lawson: All right. Thanks, Mark.
Operator: Thank you. And this concludes our question-and-answer portion of the call. I will now turn the call back over to Mary Puma, who will make a few closing remarks.
Mary Puma: So I want to thank you all for your continued support and hope to see you while we are on the road during the upcoming months. We will be presenting at the B.Riley Conference on May 25 in Los Angeles, the Craig-Hallum Conference in Minneapolis on June 1, the Stifel Conference in San Francisco on June 7 and the Credit Suisse Eighth Annual Semiconductor Supply Chain Conference in Boston on June 14. We will also be participating in the CEO Summit on July 13 in San Francisco, and we will be available that week at SEMICON West for one-on-one meetings. Thank you all very much.
Operator: This concludes the presentation. Thank you for your participation in today’s conference. You may now disconnect.